Operator: Good morning, ladies and gentlemen, and welcome to today's Eco Wave Power Third Quarter, 2022 Earnings Conference Call. All participants have been placed on a listen-only mode. It is now my pleasure to turn the floor over to your host, Jeff Stanlis with FNK IR. Jeff, the floor is yours.
Jeff Stanlis: Thank you, Tom. And welcome everyone to Eco Wave Power's third quarter 2022 earnings conference call. Hosting the call today is Inna Braverman, Eco Wave Power's Co-Founder and Chief Executive Officer. Before I turn the call over to Inna, I would like to remind everyone that matters discussed on this conference call will constitute forward-looking statements within the meaning of the U.S. Private Securities Litigation Reform Act of 1995. These forward-looking statements generally relate to the company's plans, objectives and expectations for future operations and are based on management's current estimates, projections and future results or trends. Actual results may differ materially from those projected as a result of certain risks and uncertainties. For a discussion of such risks and uncertainties, please see risk factors as described in Eco Wave Power's registration statements on Form F1 that have been filed with the SEC and which are available on the SEC’s website at www.sec.gov. With that said, I would like to turn the call over to Inna. Inna, the call is yours.
Inna Braverman: Thank you very much, Jeff. So I'm very excited to provide our quarterly update and then to update our key initiatives continue to accelerate and we're moving quickly to significant operational milestone. We are well on path towards achieving the goals that we have set for this year. In particular, we are moving steadily towards the commercialization of our pioneering wave energy technology by expanding our presence in the United States, Europe and Israel, which are our core market. The first core market for Eco Wave Power is Israel, since this is the company's based and our country of origin and our most advanced project in Israel is the EWP-EDF One project in Jaffa Port in Israel, which is been executed in collaboration and co-investments from the Israeli Energy Ministry and EDF Renewables IL, which is a subsidiary of Electricity at the French and the French National Electrical Company. The EWP-EDF One project is currently in final stages of grid connection and is soon expected to become fully operational. As previously discussed in the previous call, the Israeli Electrical Authority has set a Feed-in Tariff for the electricity produced by our wave energy pilot as part of our technology's recognition as pioneering technology by the Israeli Energy Ministry. And on the 28th of November, a few days ago, the Director of Engineering Supervision of Low and High Voltage from the Israeli Electric Authority visited our project to discuss the final electrical inspection necessary for Eco Wave Power to receive the approval of sending electricity from the waves to the Israeli national grid. Once the power station is officially connected to the grid, this will be the first time in the history of Israel that electricity from sea waves will be sent to Israel's national electrical grid. We expect that our success at the EWP-EDF One project will enable us to gradually position wave energy as a viable renewable energy source. Two additional targeted markets for Eco Wave Power are Europe and the United States. Europe is a key market because of its high wave energy generation potential. According to recent studies, wave energy is expected to generate 188 gigawatts of power, which are 10% of all Europe electricity needs by the year 2015. In addition, Europe has the most advanced regulations, grants, and other favorable conditions for wave energy technologies as part of its overall blue economy agenda. Our progress in the European market includes progress with our planned projects in Portugal and Spain. In Portugal, we have previously obtained the licenses for operation and grid connection of the first 1 megawatt in the city of Porto from an organization called DGEG and we have since retained Efiki Partners to produce a social-economic report for this first 1 megawatt, which will enable the company to receive the final required license for the project, which is expected to be granted by the site owner APDL once the report is completed to the satisfaction of all parties. So basically in order for us to be able to move from planning to extra construction of the Portuguese project, we're missing only one license called the TURH license. In Port Adriano in Spain, we have commenced an in-depth feasibility study once the study is fully completed, assuming favorable results, the parties will enter discussions regarding the licensing requirements and financial terms of the plan 2 megawatts. In the interim, the port has been awarded the prestigious Innovation Award by the Port Authority of the Balearic Islands. The prize recognizes the best idea linked to technological progress that have been projected or implemented in any port of the Balearic Islands during this year. We are extremely pleased to receive such recognition and share the port's authority's excitement to make this project a reality. We are also announcing today that we have recently signed a feasibility study agreement for a potential 1 megawatt project in Morocco to be finalized in the next few months. The project is expected to move forward upon favorable results from the feasibility study for the selected site. All of these opportunities came after Gibraltar adopted legislation and enabled implementation of our wave energy technology. I strongly believe that the regulatory action by Gibraltar served as a catalyst for neighboring jurisdictions to follow suit. Portugal, Spain and Morocco are all countries that neighbor Gibraltar and have all entered different agreements with Eco Wave Power for the promotion of our pioneering technology in their respective countries. In Portugal and Spain, we have entered concession agreements, whereas in Morocco we have recently entered the feasibility study agreement, which is the first step towards first 1 mega installation. This makes me extremely optimistic as it reinforces my belief that once regulation and legislation is set in one territory, other territories will follow, action in one country drove nearby countries to take action as well. Now turning to opportunities in the U.S. market, according to the U.S. Energy Information Administration wave energy of the American coast can generate the equivalent of about 66% of all the United States energy needs in 2020. However, right now only 20% of all the U.S. energy is generated from renewable energy sources. So if the United States government is serious about going towards net zero emissions by the year 2050 then it definitely needs to add innovative renewable energy sources, like wave energy into the United States renewable energy mix. In terms of our operational goals in the United States, we're moving forward on both coasts. First, we are progressing toward the deployment of our very first demonstration project in the U.S., which will be done as part of a collaboration agreement that we have signed with AltaSea at the port of Los Angeles. The first floater and the energy conversion unit has now arrived to the port of LA fully assembled and is currently being set up as a static display by Eco Wave Power’s engineering team, which are currently on site in LA. After a pretty fine time in which the conversion unit will serve for educational purposes to all relevant parties, our goal will be to produce seven additional floaters in California to be installed on a dedicated real-conditions site within the port of Los Angeles serving as the first Eco Wave Power implementation in the United States. Simultaneously, we are working to advance initiatives in New Jersey. We are working closely with Assemblyman Karabinchak, who has developed ambitious legislation initiative dedicated to adding wave energy into Governor Murphy's Energy Master Plan for New Jersey. In June this year, Assemblyman Karabinchak introduced Bill A4483, which calls for the Utility Board to create a commercialization and deployment plan and to offer financial incentive to companies and port owners for executing wave energy power stations. And in September, 2022, the bill passed the assembly committee and is now headed to the New Jersey Senate for the next step of the legislation approval. Our expectation is that this progress on each coast will lead to similar legislation and actual project implementation in other states within the U.S. We are also progressing with different R&D grants that have been secured in the past as well as receiving new grants. This includes the grant from Innovate U.K. in collaboration with the University of Queen Marry in London, The Green Deal grant secured by the ILIAD consortium, Eco Wave Power’s participation in a grant for the production of an in-depth feasibility study for a 1 megawatt project in Halki island in Greece, which is meant to be the first step towards the construction of an actual 1 megawatt project in the island, a grant where Eco Wave Power participates for the planning of a project in Heraklion Port in Greece, and a new grant by ERDF the European Regional Development Fund called Ports Towards Energy Self Sufficiency by PORTOS that was approved for a research project in Porto in Portugal, led by the University of Porto on the 24th of November, 2022. I believe that the progress that we're experiencing clearly shows that world governments continue to embrace clean energy as key to our economic vitality. Our progress in Europe and in the U.S. combined with new policies that have been adopted and new grants obtained for wave energy research and implementation reinforces the rising commitment for the commercialization of wave energy. We believe that as our technology becomes more widely adopted, it will lead to wave energy commercialization and the acceptance of wave energy as a significant part of the world's renewable energy mix. I've been highlighting the importance of wave energy sector at high profile events around the world, including recently the WIRED Impact Conference in London and it seems that each engagement creates more believers and supporters towards wave energy commercialization. I truly believe that our hard work during this year of 2022 is expected to translate to growth in the year 2023. Thank you.
Operator: Thank you. Ladies and gentlemen, this does conclude today's conference call. You may disconnect your phone lines at this time and have a wonderful day. Thank you for your participation.
Q - :